Operator: Thank you for standing by. This is your conference operator. Welcome to the First Quantum Minerals Fourth Quarter 2024 Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Ms. Bonita To, Director and Investor Relations. Please go ahead, ma’am.
Bonita To: Thank you, operator. Good morning and thank you, everyone, for joining us today to discuss our fourth quarter results. During the call, we will be making forward-looking statements. As such, I encourage you to read the cautionary notes that accompany this presentation, our MD&A and the related news release. As a reminder, the presentation is available on our website and that all dollar references are in U.S. dollars, unless otherwise noted. On today’s call are Tristan Pascall, our Chief Executive Officer; Ryan MacWilliam, our Chief Financial Officer; and Rudi Badenhorst, our Chief Operating Officer. And with that, I will turn the call over to Tristan for opening remarks.
Tristan Pascall: Thank you, Bonita and thank you everybody for joining us today for our fourth quarter and year end 2024 update. Whilst 2024 began with several challenges brought about from the suspension at Cobre Panama, we reacted swiftly with the implementation of our comprehensive refinancing transactions at the start of the year. These actions greatly stabilized the business and we remain thankful to our investors for their ongoing support through this period and the remainder of the year. Through the 2024 year, our financial stability allowed investment into the Kansanshi S3 Expansion, which has delivered strong tangible progress on the project. And in addition, we were able to realize the commercial production milestone in enterprise. Nonetheless, it was also essential that Kansanshi and Trident delivered strong operational performance and it is pleasing to report that we exceeded on our copper and gold production guidance for 2024 to which Rudi will shortly in his remarks. More importantly, the initiatives that we took to improve operational performance have set us up well for 2025 for continued safe productivity in Zambia. Beyond continuing this operational performance, our priorities for this year are very clear. Number one, to deliver on the Kansanshi S3 expansion. On this, I will provide more detail when I review our outlook at the back end of today’s call. Number two, to continue additional initiatives to further strengthen the balance sheet to which Ryan will speak on. And number three, to make progress towards resolution in Panama. I will provide a brief update on this topic and the Panama situation in Zambia as well as corporate update before I hand the call over to Rudi. I was in Panama with the Board of Directors at the end of January. We continue to engage with industry and ministerial officials, including hosting a tour at Cobre Panama for the Minister of Environment and Minister of Public Security in January. We continue to await approval of the Preservation and Safe Management program that will allow the export of concentrate that remains on site. We have not yet met with President Mulino. The President remains focused on advancing social security legislation in the country, but has made public comments that he intends to address the issue of the mine in early 2025 once social security is resolved. In the meantime, Panama initiated an environmental audit with the release of the terms of reference on January 6. The purpose of the audit will focus on assessing the current state of the facilities, potential environmental impacts and necessary mitigation and restoration measures as well as determining the real cost of restoration of mining area and the mean fund lease costs. The terms of reference acknowledges that environmental restoration of the mining area is a complex and long-term process which will require years of effective implementation and rigorous monitoring to achieve sustainable results. The public consultation period for the terms of reference concluded last week, and we await further instructions from the Ministry of Environment. We do welcome the environmental audit and we are prepared to cooperate fully. The company operated its operations with transparency and in full compliance with international environmental standards and we are confident the results of this environmental audit will demonstrate the world class nature of Cobre Panama. With regards to our ICC arbitration, this was initiated under the previous government, which changed in July of last year following the elections. The new government brought in new counsel and requested for more time from the arbitration tribunal. Based on these circumstances, the tribunal unilaterally decided that final hearing should be held in February 2026. The company reiterates that arbitration is not the preferred outcome and that we prefer to sit down with a new President to discuss them, which he has indicated he will do in early 2025. We remain committed to open dialogue and to being part of the solution for the country and the Panamanian people. On to Zambia, where the rainy season has started and whilst the Kariba Lake water levels are replenishing, they do remain at low levels compared to previous years. As such, the company is not planning for the hydroelectricity power generation sources within the country to return to normal output levels this year. To address the probable shortfall, the company has put sourcing plans in place for 2025 to ensure that reliable electricity supply is available for our operations, including the startup of the Kansanshi S3 expansion project. With these sourcing plans for power imports at this stage, we expect that 2025 will be similar to 2024 whereby our Zambian operations should experience minimal material interruptions from our restrictions. With our fourth quarter results, we also announced that Bob Harding will retire at the upcoming AGM in May and Kevin McArthur will take over as the company’s new Independent Chair Board. I’d like to offer my sincere and personal thanks to Bob for his guidance, knowledge and impact on the Board over the years, including the last 2 years as Chair during period of challenge and change for First Quantum. I certainly wish Bob a happy retirement. Kevin has been an invaluable director of the Board since 2021, and I look forward to working with him more closely in his new role as Chair. With that, I would like to now hand the call over to Rudi to review the operations.
Rudi Badenhorst: Thank you, Tristan. Thank you everybody for joining our call. As a result of several operational initiatives last year, Kansanshi demonstrated strong results in 2024 and we’ll be maintaining this operational focus to deliver on our guidance for 2025. Kansanshi benefited from improved grade control practices, allowing it to achieve its highest annual copper production since 2021, and several initiatives at Sentinel allowed the mine to achieve record expert mining volumes in 2024. For the year, total copper production, excluding Cobre Panama was 431,000 tons, approximately 14% higher than the prior year and exceeded the upper end of our guidance of 420,000 tons. Gold production for the year was 139,000 ounces, also exceeding the upper end of our guidance of 135,000 ounces, whilst 2024 nickel production of 24,000 tons fell comfortably within our guidance range. For the fourth quarter, total copper production was 112,000 tons, a modest decline quarter-over-quarter after an exceptional performance in proceeds. Zambia’s energy situation remained challenging through the fourth quarter. However, the company’s proactive strategy of securing supplementary power primarily via the Southern African Power Pool allowed the company to maintain all operations with minimal power interruptions, albeit at slightly higher cost. At Kansanshi, we had another solid quarter, recording copper production of 48,000 tons. Feed grades remained high as we continue to access a higher volume of mixed ore from Main 15 cutback, that allowed for the mixed and sulphide mills to remain swapped during the quarter. This was mitigated by lower throughput as both circuits underwent planned maintenance shutdowns in the quarter and returned to its normal circuit configuration in January 2025. Sentinel reported copper production of 57,000 tons in the fourth quarter, down $0.03 from previous quarter, mainly due to lower goods. We, however, continue my good progress reaching the mine throughput capacity [indiscernible] with December reporting the highest monthly throughput since October 2022. The development of Stage 3 Western cutback and the recommissioning of input crusher 1, 2 months ahead of schedule, allowed for increased availability of software material, improved availability of the primary crushers and improved fragmentation of the ore. At Enterprise, nickel production was down quarter-over-quarter, producing approximately 3,700 tons of nickel. During the quarter, sources of nickel sulfide ore was impacted by weathering and alteration in the fault line in the southern wall of the pit. As such, the enterprise flotation circuit was switched to treat copper ores in December while the fault area was mined through and the altered material was stockpiled separately for blending with fresh nickel sulfide ore. Nickel feed resumed in January after the NPA was mined up. At Cobre Panama, we continue with the less maintenance work for asset preservation, along with environmental work to ensure compliance of the environmental and social impact study for the project. We continue to have 1,300 workers on site and will adjust the level of employment in accordance to the conditions on the ground in Panama. Thank you. And I will now hand the call over to Ryan to review the financials.
Ryan MacWilliam: Thank you, Rudi. On the market side, the copper price was strong early in the fourth quarter, supported by anticipated U.S. Fed rate cuts and Chinese stimulus measures. Copper prices pulled back in early November reaching a low of $3.95 per pound, following the U.S. elections and concerns around the potential tariffs. Overall, realized prices were 2% lower than in Q3. While demand remains strong, we expect continued price volatility as the market tries to get a feel for how broad and extended the potential tariffs and associated trade wars might be. Quarter-over-quarter, revenue and EBITDA were down 2% and 13%, respectively. This was due to lower copper and gold sales, coupled with higher unit costs at Sentinel and Enterprise. Q4 net earnings attributable to shareholders, was $99 million, with adjusted earnings per share of $0.14. This was the second consecutive quarter in the green since Cobre Panama entered preservation and safe management. On to costs, where performance continues to be strong. Copper C1 costs were up 7% at $1.68 per pound due to slightly lower production volumes and increased totaling costs at Sentinel. This was mitigated by reduced drawn stockpiles at Kansanshi and lower Zambian fuel costs, which lags behind crude oil prices by about 2 months. Remaining input prices were stable. This includes Zambian power rates, which were in line with Q3 as our Zambian team continues to effectively manage the power restrictions in country. On a full year basis, it was pleasing to see copper C1 costs of $1.74 per pound bringing below the bottom end of revised guidance. It is worth noting that excluding Cobre Panama, the full year copper unit cost was at its lowest level since 2021. This cost performance was driven by strong copper and gold production, along with elevated gold prices, which more than offset the $0.06 impact of third-party power rates in Zambian. Moving on to guidance. While cash cost guidance for 2025 and 2026 benefited from increased gold volume and price assumptions, this was offset by the impact of Zambian import and power cost of approximately $0.07 per pound as well as expected higher labor and maintenance costs. With respect to capital expenditures, 2025 CapEx increased to $1.3 billion to $1.45 billion. This includes $100 million of expenditures carried over from 2024. In addition, the guidance reflects some cost pressures. Also within the 3-year guidance is approximately $400 million in capital expenditures related to the S3 expansion and $325 million related to mining feed replacements at Kansanshi. On to the balance sheet. Net debt decreased in the fourth quarter by $61 million to $5.5 billion. It was very pleasing to see the consistent operational performance lead to this reduction in net debt, even as we continue to fund a major capital expansion project and Cobre Panama P&SM costs. Net debt also benefited from reduced worked capital levels, with cash received from previous quarter’s late sales, increased Zambian VAT receipts and the timing of payables. Liquidity increased during the quarter and remained strong at $1.6 billion. This comprises of $112 million in cash and $750 million of undrawn revolver. During the quarter, some of the hedges that we previously put in place rolled off, resulting in a quarterly and full year realized head gain of $13 million and $34 million, respectively. We have maintained our hedging approach from last year as protection from downside copper prices during the period of expenditures and ramp-up of the S3 expansion. We now have roughly 50% of our copper sales hedged via collars through to the end of 2025 with new hedges recently added for 2026. However, over 90% of our 2026 production remains exposed to spot prices. It is now a year since we concluded the comprehensive refinancing. And it is pleasing to say that we’ve stuck to the plan, maintaining cost discipline [ph] program and extending the Trident facility. As Tristan noted in his opening remarks, we continue to take additional initiatives to further strengthen our liquidity and balance sheet. We have a range of options in front of us, which includes the potential minority stake in the Zambian business. This process is ongoing. And as such, we won’t be making further comments on this regard. That concludes the finance section. I’ll now hand the call back to Tristan.
Tristan Pascall: Thank you, Ryan. Before handing the call over for Q&A, I would like to review the guidance we provided in January. At Kansanshi, the guidance reflects a conservative ramp-up profile for the new 25 million ton per annum concentrator at the S3 Expansion Project. Our presentation has several pictures of the progress on the build and commissioning process at site. The project remains on schedule for completion by midyear and work – such training of the workforce is focused on ensuring a smooth ramp-up of the new concentrator. The conservatism that is applied to forecast production from the Kansanshi S3 expansion is, however, related to the profile of surface level stockpiles that would be initially through the plan. As these stockpiles have been sitting on surface for several years with the potential impact of weathering, we have prudently applied a conservative grade profile to this material. And whilst lower grade, the cost of moving this material will be reduced as it is already blossomed and at surface elevations. We remain on schedule for pre-stripping on the Southeast Dome and the higher grade ore from this section of the deposit will be fed into the plant starting in 2027. At Sentinel, we have accelerated mining in Stages 3 and 4 in order to smooth out the production profile and derisk future ore supply. These actions are responsible as they will assist in achieving an optimal and sustainable balance of grades and volumes during the life of the mine. However, there will initially be some higher volumes of oxidized and transition material to work our way through. At Enterprise, the focus for 2025 will be on optimizing the development of the pit to supply feed volumes to the plant. We have mined through the highly weathered area on the southern wall and additional and deeper reverse circulation drilling is underway to broaden our geological understanding of the working areas in front of us. I would like to end my prepared remarks by directing my thanks to the team at First Quantum for their hard work this past year and also to our shareholders for their ongoing support. 2024 was a challenging year, but I am optimistic about the outlook for 2025. We are focused on our main priorities for this year. Firstly, towards resolving the situation in Panama. We continue on our public outreach programs to educate the Panamanian public about the benefits of Cobre Panama and that mining of natural resources in an environmentally and socially responsible manner is a necessity for the country in our modern lives. We also look forward to constructive discussions with the government for a resolution of the situation. Secondly, as Ryan mentioned, we will continue with the proactive management of our balance sheet and liquidity position. Thirdly, as Rudi mentioned, we will continue our focus on safe and productive operational performance. And finally, in Zambia, delivery of the Kansanshi S3 Expansion Project in mid 2025 will be an inflection point for the company that will enhance our financial resilience and support continued growth. Thank you. This brings our prepared remarks to an end. Operator, we can open the call for Q&A.
Operator: Thank you. We will now begin the analyst question-and-answer session. [Operator Instructions] And the first question will come from Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: Hi, good morning and thanks for the update. Questions around the Panama situation, I am just curious given that the social security issue isn’t fully solved yet and now the canal has become, I guess, a focal point as well. Do you still anticipate sort of resuming or starting negotiations by the end of the first quarter or could this timing now flip into later in the year?
Tristan Pascall: Hi, Orest. Thanks for the question. Yes, the President has been clear as it was at the end of last year and then into this year that for him, the social security matter comes first and the mine topic would follow directly thereafter. Originally, the timing of that, the government had wanted to pass in December and certainly their optimistic forecast in January and going into February. As far as understanding the current status at the moment, the 200 articles of the draft bill were passed at the end of last week in the first committee, the first round and there is subsequent rounds of debate. So they are somewhat through that. The next stage of that debate happens in the national assembly. And if the legislation passes there, then it goes for the final third round. So, the President has been clear in telegraphing that, that needed to happen first and then on to the mine. I think in regards noise around the canal, we would just say we are absolutely focused on making progress towards resolution and to work constructively with the government. And the mine provides a lot of opportunity in terms of underlying economy, employment and so on in the country. So, at this stage, we see progress, and we see it moving forward. We continue to hold to our expectations around reaching resolution as soon as possible.
Orest Wowkodaw: And just as a quick follow-up, if I may. Does the five-month delay on the ICC final arbitration hearing, I guess the February of next year, do you think that impacts the pace of negotiations this year, just given it would seem to ease the pressure short-term?
Tristan Pascall: No. Look, I think the key – what’s happened there is the new government has come in July and there has been a change in management. There has also been a change in their legal advices. And so they approached the panel. I think the Panama was very clear in handing that back that they were – they accepted that, but would hold to a tight resolution timeframe now, and that was the move to February 2026. In terms of the work that needs to happen for each party submission and so on, that continues to be held, so I don’t see that shifting the ground very much.
Orest Wowkodaw: Okay. Thank you very much.
Operator: The next question will come from Edward Goldsmith with Deutsche Bank. Please go ahead.
Edward Goldsmith: Thanks Tristan. Two questions from my side. Firstly, on Cobre Panama, how should we think about the timeframe for approval of the Preservation and Safe Management program and the Environmental Audit to begin? And then secondly, can you give an update on how you are thinking about the balance between financing options versus partnering and sale options going forward?
Tristan Pascall: Sure, Edward. I will hand the second question to Ryan. But on the first one, look, the P&SM plan we submitted early last year, and our understanding it’s been well reviewed. But really, the situation with timing is that it’s in line with the present policy to get through social security first. We would point out the importance of that program. There is urgency around ensuring the ongoing environmental stewardship of the site and asset integrity, we were able to show that to the Minister of Environment and the Minister of Public Security when they came to the site at the end of last month. And that is important beyond the status of the mine. Those interim measures do need to pass so that we can be sure of the spending. Beyond that, as Rudi said, we have 1,300 people on site and that cost needs to be born. We cannot do that indefinitely without those interim measures [ph], the concentrating the P&SM and coming in place and being approved. So, we would say that those do need to be considered now and approved imminently. So, there is clarity on that, resolution and so on can step logically.
Ryan MacWilliam: Hi Edward. In terms of your second question on the balance sheet, the first point to make is that we come from a very strong starting position. We ended Q4 with $1.6 billion in liquidity. And even more pleasingly, we actually saw net debt go down through the course of Q4 and liquidity increased through the course of Q4. As we look ahead to 2025, we have a range of options ahead of us. You alluded to the minority stake sale in Zambia, and certainly, serious engagements continues in that respect. We will weigh that up against a range of other options. You saw us last year access the bond market. You saw us last year enter into prepays. Those same options continue to be there for us, together with the range of other financing institutions [ph]. So, it’s really about progressing a variety of initiatives. And as they come to fruition, considering the pros and cons of each from both the financial perspective and also strategic perspective, and we will work hard on that through the course of this year.
Operator: The next question will come from Marcio Farid with Goldman Sachs. Please go ahead.
Marcio Farid: Thank you. Good morning everyone. Just in terms of, I think in the last call, you mentioned that you would expect to have a final resolution or potential view by the end of December. Just trying to understand if there is any potential timeline? It seems like you are not in the rush, you have other options. But if you have a certain timeline to when you decide to go ahead or not with the minority stake sale at least? Thank you.
Tristan Pascall: Thanks Marcio. Ryan will you take that question?
Ryan MacWilliam: Yes. Marcio, I think we have been consistent throughout that any arrangements we enter into in Zambia will be for the next 25 years. So, rather than rushing to a specific timeline, we have to be – take the time and engage with counterparties on what is a large and complex business. So, it does take time, but see if there is an alignment on what the right sort of agreements are that work for us, that work for a counterparty, that work for the Government of Zambia and really that’s how we are approaching it. If and when we get to that point, then we will announce that to the market. But we are not putting specific timing and dates to make sure it has to be done by X or Y date. It’s really about getting to the right agreement rather than a quick agreement.
Marcio Farid: Okay. Thank you. And just a follow-up, Zambia, it seems like we are still – I mean the rainy season is still ongoing, has been relatively okay, but you also guided for a continuation of imports of energy from especially Zimbabwe and South Africa. Just trying to understand what is the risk that you actually have to go above the 40% threshold that you have in terms of total import and how confident where you can keep operations running, which still develop as likely did in the last few quarters? Thank you.
Tristan Pascall: Thanks Marcio. I can take that one. So, look, we have been proactive in securing supplementary power as we were through the course of ‘24. And yes, we are only halfway through the rainy season. So far, it seems relatively on track. It was a little bit dry early January and then wet to late January. The rainy season will last through sort of until March, April. And then you only really see the big inflows into Kariba following that as that rainfall comes down from Angola. So, I am not here to predict that rainfall. We have just put in place a responsible strategy in order to ensure that we have the power available and we have upside from that in terms of additional hydroelectric supply, and that’s great. We have taken a conservative line, and that would include making sure we have got power for the S3 expansion at Kansanshi.
Operator: The next question will come from Chris LaFemina with Jefferies. Please go ahead.
Chris LaFemina: Thanks operator. Hi guys. Thanks for taking my question. Maybe just a follow-up on the power situation in Zambia, so you say in the release today that anticipating low water levels over the course of the year, you will have enough supplementary power to meet the demand that you have, including with the ramp-up of the S3 expansion in the second half of the year. But then if we think about 2026 in your operating point, your C1 cash cost guidance, what are you assuming about power availability? And how should we think about kind of the potential variability around that depending on the hydro power levels in 2026? Thanks.
Tristan Pascall: Thanks Chris. Ryan, do you want to take that one?
Ryan MacWilliam: Yes. Chris, so just as Tristan touched on our conservative approach to sourcing power, we have also taken a conservative [ph] to forecasting costs in respect to power. So, our cost guidance assumes the same 2025 cost profile to 2026. Through the course of 2026, we continue to have that $0.07 per hire – per a pound of copper impact on our costs. As Tristan noted, if we see stronger rains and we are draw on more hydroelectric power through the course of 2026, you will see that reduce, and that will then reflect the upside on the cost guidance that you currently sit with.
Chris LaFemina: Okay. Thanks Ryan. And then secondly, on the hedging strategy, I would assume that if Cobre Panama comes back online or when it comes back online, the strategy will then shift back to spot market exposure, or will you continue to hedge after the mine has restarted? Thanks.
Tristan Pascall: Ryan, can you take that one?
Ryan MacWilliam: Sure, Chris. Just to comment in general, how we think about hedging. I mean our goal as a company is to un-hedge [ph] in the long-term to offer investors copper exposure, but we also want to take a conservative approach in terms of how we manage the balance sheet. So, the timing of the hedges that we have got in place is not so much driven by Cobre Panama, but really delivery of the S3 project as that really ramps up through the second half of this year, and then we start to get the benefits of the higher grade ore into next year, that’s how we shaped the hedging book. I would say we are [Technical Difficulty] hedges reasonable rates. And really, it’s that management of the balance sheet, while we deliver a capital project that’s driving our timing rather than Cobre Panama specifically. Our goal remains to get back to an un-hedged position in time.
Chris LaFemina: Great. Thank you for that. I appreciate that. Good bye.
Operator: The next question will come from Lawson Winder with Bank of America Securities. Please go ahead.
Lawson Winder: Yes. Thank you, operator. Hello Tristan, Ryan and team. Thanks for the update today. So, I was wondering about the Cobre Panama public outreach that you guys have been doing. I think it’s a great initiative. And I was just curious if that’s turned up any areas of weakness on which you think either First Quantum or the Government of Panama could improve in terms of communicating the benefits of the mine to the public, whether it’s operating, hiring or otherwise? Thanks.
Tristan Pascall: Sure, Lawson. Thanks. So, absolutely, we acknowledge, particularly around the condition that leads to communications to broader society in Panama were low and missing and not where they should be. And that’s beyond the communities around the mine and really into the city, but also into different demographics, young people at university and so on. So, we have really stepped up that effort. And included in our $12 million, $13 million a month spend is a lot of effort going out into those communities. So, we have had some 40,000 people come through in various interactions, either direct visits to the site or through public fairs and engagement in universities at social events in work our people on the ground, not just on the mine, but in broader society. Beyond that, we have had some 300,000 engagements with our virtual tour on the website. And those are just steps in a pathway. We need to continue that education, continue the engagement as we go through the process towards resolution. From where we are now, I think – we are seeing a bit of a shift in the narrative, not just on economy and unemployment and the impact that, that’s heavy Panama and the role that the mine can play. But beyond that, also actually having natural resources available and the opportunity that responsible mining can provide to it an economy to society is gathering, but we need to keep working hard on it. We need to keep reinforcing the messages, and also speaking with detractors, we have been reaching out to them so that they have a technical basis for understanding and that’s also helping on some of the fake news, some of the misrepresentation that was there previously in order that at least there is a technical and a factual basis to a discussion.
Lawson Winder: Okay. Thanks for that. That’s helpful. And for my follow-up, can I ask about the streaming financing option that Ryan, you mentioned on your slide on potential third-party sources of financing. So, just first of all to clarify, I assume that means a precious metals byproduct stream. And then secondly, at what stage are these discussions? And how would you say that type of financing ranks versus the others highlighted on that slide? And then I would note, obviously, I mean I think you have an existing byproduct precious metal streaming arrangement that I think would be fairly described as quite successful. So, your thoughts there would be very helpful. Thanks.
Tristan Pascall: Rudi, please go ahead with that.
Rudi Badenhorst: Yes. Hi Lawson. So, yes, you are correct. We do have a large byproduct credit in the form of gold at Kansanshi. So, I think what it means is as we look at the full list of vile options, we are fortunate to be one of those companies that has a wide range of options. And because of that goal, that includes streaming. That being said, I wouldn’t read into that, that we are going to do a stream or that’s number one on the list. That slide just highlights there is a range of options. We consider all of those options. We will advance some of them. Some of those will just remain kind of backup. We will advance a variety of them. And when you get to the finish line on each of them, it’s really up to them as other alternatives and which is the most attractive per capital and how does that align with what our strategic goals are.
Lawson Winder: Great. Thank you.
Operator: The next question will come from Ioannis Masvoulas with Morgan Stanley. Please go ahead.
Ioannis Masvoulas: Thanks very much for the presentation. The first question is on the S3 project where you reiterated commissioning in H2 of this year. Can you remind us how long it’s going to take to get the full nameplate capacity? And related to that, when do you expect to be outside the low-grade sulfide zone, in which case you get both higher throughput and higher grades. Thank you.
Tristan Pascall: Thanks Ioannis. So, we will finish – we will complete construction in the – by mid-2025 and be commissioning and ramping up through the second half of the year, as you say. Look, I think we expect by the end of the year to sort of be at 80%, 90% level at that kind of level in terms of our ambitions, and we are putting a lot of effort into the operational readiness that is training of the workforce and artisans to be ready to receive the plant. I was there at the end of January, walking around, and it’s in a very good state of progression. We were commissioning the major substation and then several substations behind that. Really, the main work is on piping and electrical in terms of man out, but there was a good allocation of resourcing towards that. We have got all the major equipment on site. Yes, a couple of pumps here and there that are coming. So, we feel very good about that pathway and also about the ramp up thereafter. In terms of the grade profile that we deliver, yes, those stockpiles are at service and available on the hole, but just on the flat across from the other side of the pit. And so that’s an opportunity to take low-cost feed to add to the bulk material that we are pushing through. There is 25 million tons of additional sulfide material that we are seeking to point to the new concentrator. And then over time, as we continue the pre-strip at Southeast Dome, we will expose high-grade ore there in Southeast Dome, but continuing to take feed from main pit which continues through the life of the mine to be an important source of ore. So, the grade profile, we expect to improve from the sort of second half, back end of 2026. As that comes through and the stripping is complete in Southeast Dome, and then 2027, as we put into our guidance, we really just have to see the benefit of that.
Ioannis Masvoulas: It was very clear. Thank you very much. And just a follow-up, it seems the situation – the hydro power situation in Zambia remains challenged, at least for one more year. You have been pursuing options on power sourcing via PPAs. How is that progressing? And if you were to sign 10-year or 15-year PPA agreements, how should we think about the cost of power? Is it comparable to what you are baking into the guidance for ‘25, or could it see potentially another step-up? Thank you.
Tristan Pascall: Thanks Ioannis. Yes, look, we just – so I think what we would say is given that we are only halfway through to the rainy season that we planned conservatively, and so that’s why we put that forward. Lake Kariba was held low last year because of the drawdown and also because they were doing work on the plunge pool behind the wall. That work is now complete, but they need – they will probably need a good couple of seasons of rainfall to really recharge Kariba in the absence of record years. So, we plan for that conservative basis. We are working with third-party power supply. Those agreements have in play and these are extensions thereof plugged into the Southern African power pool across various sources in the region. And then beyond that, we are working with, for example, Total Energies and also Chariot Energy on a longer term project for solar and wind power. That project, we expect to be commissioned and running around 2027, 2028 in terms of when we would see the outflow, which is around 430 megawatts.
Operator: The next question will come from Ian Rossouw with Barclays. Please go ahead.
Ian Rossouw: Thanks team. Two questions from me. Just on enterprise, looking at your all-in sustaining cost guidance, it currently seems like the nickel price is below the bottom end of that range. So, it suggests that your – the mine will be cash negative. Can you maybe talk about what options you have, I mean would you consider slowing that down and creating more copper ore. Obviously, it seems like you are opening in the pit in later years to bring costs down materially where you will most likely be generating cash, but just trying to get a sense of what the options there are there if prices stay low? And then secondly, just on this export duty on gold dore, what’s – how confident are you that, that will be reinstated or that suspension will be reinstated so that you can actually start selling that gold again?
Tristan Pascall: Sure. Thanks Ian. Ryan, do you want to take that question, the first one?
Ryan MacWilliam: Sure. Hi Ian. So, just the nickel cost guidance is $5 to $6.50 per pound for this year, that’s on a C1 basis. And you are right, the all-in cost, $7.50 to $9.25 is above where the nickel price is currently. But while we note, you then see that fall quite materially in 2026 and 2027 where the midpoint is around $6 below where current nickel prices are. And what that is, is that the effort to open up the pit this year, work through some of the more oxidized material, and we will continue then to the cost profile step down as we get into – as we work through that and we also open up better grades. And so that cost profile once we are in that 2026, 2027 period is strong. So, at this stage, no plans to change the operational approach and finding approach around enterprise.
Tristan Pascall: Yes. And on the gold export levy, so we have had the conversations with government, I was in Zambia in January, speaking with the President. We feel comfortable with that. It’s not just Kansanshi that was affected it was also the gem producers there. And so it’s a broader perspective, but the conversations around that were pretty clear. So, we do expect the suspension to be reinstated, Ian.
Ian Rossouw: Thanks. Do you think that still happens in Q1, so you can sell gold in Q1?
Tristan Pascall: Ryan, do you want to…?
Ryan MacWilliam: Yes. Ian, I think we would be confident that happen in Q1. I mean we would note actually as it’s currently set up, we sell most of our gold dore to the bankers in Zambia, so we cannot exporting it, but certainly we think it’s important that is removed and the interactions we have had with government so far suggests that will get moved in the near-term.
Ian Rossouw: Okay. Alright. Thank you.
Operator: The next question will come from Anita Soni with CIBC World Markets. Please go ahead.
Anita Soni: Good morning Tristan, Ryan and team. So, just a couple of quick questions. The first one, a follow-up on the extension for the ICC arbitration hearing, is that the final date on which it could be pushed to, or could you see that pushed further?
Tristan Pascall: Hi Anita, yes, that’s the final date.
Anita Soni: Okay. And then the second question, a little bit more big picture. With the comments coming out from the U.S. President around the Panama Canal, have you seen any change in the government sentiment towards the mine? And what I am thinking about is either trying to find alternative sources of revenue and also how they think about critical minerals considering other countries are pushing to get their critical minerals developed at this stage. So, if you could just provide any color that would be appreciated. I am just trying to see if there is any read-through to Cobre Panama.
Tristan Pascall: Sure, Anita. Thanks. Look, what we would say is that we are absolutely focused on making progress towards resolution in Panama. We continue to work very constructively with the government and we continue with our responsible stewardship of Cobre Panama towards reaching a solution that is in the best interest of the people. That’s really the focus.
Tristan Pascall: Alright. Thank you. That’s my questions.
Operator: The next question will come from Craig Hutchison with TD Cowen. Please go ahead.
Craig Hutchison: Hi. Good morning. My question is actually on gold macrame [ph]. The production profile for the gold businesses more elevated than I would expect for the next few years, just given the limited reserves. I am just curious whether the production profile extends much beyond 2027 with the reprocessing of tailings? And I guess as a second question, would you guys consider a gold prepay and does that have to be the potential to be a material amount to you guys? Thanks.
Tristan Pascall: Thanks Craig. It’s to get questions on gold macramé. And yes, we are very enthusiastic. Look, copper production is coming to an end, and we will cease we expect the second half of this year. But gold production was on. So, we have just commissioned the carbon and leach plant there, and we relieved approval for mining of the Oriental Hill at the end of last year. So, that activity will get underway. And we don’t have a full reserve there just because of the location and drilling and so on, but we do expect it to be ongoing and contribute to production this year and to next year. Beyond 2027, I think it starts to look more cloudy, so that’s through the timeframe at the moment.
Ryan MacWilliam: And in terms of the prepaid, you are right, that is an option to us. So, we talk in the slide about one of the options available to us being copper prepays like we did last year, but absolutely as demand in the market for gold prepays. But again, it just comes back to looking at each opportunity for financing and then just weighing up the cost of capital of each.
Craig Hutchison: Okay. Great. Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Tristan Pascall for any closing remarks. Please go ahead, sir.
Tristan Pascall: Thanks operator and thank you to everybody for joining the call. We thank for your time and your interest and we look forward to speaking to you again at the next opportunity.
Operator: This brings to a close today’s conference call. You may disconnect your lines. Thank you for your participation and have a pleasant day.